Operator: Greetings. Welcome to the SiriusXM Fourth Quarter and Full Year 2024 Operating and Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Hooper Stevens, Senior Vice President of Investor Relations and Finance. Thank you. Hooper, you may begin.
Hooper Stevens: Thank you, and good morning, everyone. Welcome to SiriusXM's fourth quarter and full year 2024 earnings conference call. Today, we will have prepared remarks from Jennifer Witz, our Chief Executive Officer; and Tom Barry, our Chief Financial Officer; Scott Greenstein, our President and Chief Content Officer, will join Jennifer and Tom to take your questions during the Q&A portion of this call. I would like to remind everyone that certain statements made during the call might be forward-looking statements as the term is defined in the Private Securities Litigation Reform Act of 1995. These and all forward-looking statements are based upon management's current beliefs and expectations and necessarily depend upon assumptions, data or methods that may be incorrect or imprecise. Such forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. For more information about those risks and uncertainties, please view SiriusXM's SEC filings and today's earnings release. We advise listeners to not rely unduly on forward-looking statements and disclaim any intent or obligation to update them. As we begin, I'd like to remind our listeners that today's call will include discussions about both actual results and adjusted results. All discussions of adjusted operating results exclude the effects of stock-based compensation and the Liberty Media transaction. Additionally, we have posted a supplementary presentation to our Investor Relations website for your convenience. With that, I'll hand the call over to Jennifer.
Jennifer Witz: Thank you, Hooper, and good morning, everyone. SiriusXM had a strong fourth quarter to cap off 2024, entering 2025 with a focused strategy, clear goals, and defined path to addressing both the challenges and opportunities ahead. For 2024, SiriusXM delivered on our public guidance with $8.7 billion in total revenue, $2.73 billion in adjusted EBITDA, and just over $1 billion in free cash flow. Additionally, we achieved significant subscriber improvements year-over-year, driven by a strong back half, with better-than-expected metrics across both acquisition and churn. Our offering remains unmatched in the market and our dedicated subscriber base continues to choose our service to soundtrack their day. As we announced in December, we have sharpened our strategic focus on SiriusXM's strengths and differentiators with an emphasis on robust margins, free cash flow generation, and capital returns. While we are still in early stages, we have already made progress across each of our key areas as we look to continue to enhance our subscription offering, leverage the strength of our ad business, and accelerate efficiencies and optimization across the organization and our cost structure. Let's begin with our subscription business, where we are doubling down on our core automotive segment. We added approximately 150,000 self-pay subscribers in the fourth quarter and ended the year down less than 300,000, a significant improvement over 2023. Our three-year OEM subscription program is gaining momentum with tens of thousands of equipped vehicles sold in 2024 with a three-year plan. And the launch of our service in Tesla and Rivian models in December, leveraging our newest 360L technology and a streaming-only implementation, allowed us to quickly scale to over 2 million vehicles already on the road. In 2025, we'll be making adjustments that will both allow for a more seamless customer experience and improve the overall health of our business in the long term. These include improvements in online customer engagement such, as click to cancel and a reduction in marketing to higher cost, higher churn audiences, as well as shortened introductory offers, immediately following automotive trials and new lower-priced package options. While we expect some of these changes will have one-time impacts on our subscriber results, particularly in the first half of this year, we believe these actions will allow us to improve customer satisfaction, maintain our strong cash generation, and support the continued long-term health of the business. Apart from these shifts, we would expect our subscriber results in 2025 to be slightly better than what we saw in 2024. Streaming remains critical to our future as we look to expand reach and engagement for our core subscribers who increasingly consume SiriusXM content both in and outside the car. Between 360L, which will account for roughly half of our new car trials this year, and the recent Tesla and Rivian launches, which are IP implementations, streaming plays an increasing role for our business in the vehicle. As an extension of this, we are developing features and technology for our digital products, such as the in-app channel guide to function as a companion to our in-car offering and better serve the 90% of customers who use our embedded service. Following the launch of our new app, we saw streaming listening steadily increase throughout the year, reaching a high in December. We're seeing strong engagement with the added features at streaming, both in select 360L vehicles, as well as in-app, allows our subscribers to enjoy. This includes our extra channels, where we continue to see lift in weekly in-app listenership, up 36% in Q4 year-over-year, as well as audio on-demand, including podcasts, which achieved significant double-digit growth across both platforms. And with an average of just under two listeners per subscription, the app not only offers a way to extend listening outside of the car, it allows multiple members of a household to enjoy our service at the same time, delivering even more value to our core subscriber base. But of course, premium, exclusive, curated content remains the heart of our business and we are focusing our investments in this area on talent and collaborations that resonate with passionate audio consumers. Sports, for example, remains a major differentiator for us, and we were pleased to continue to welcome new expert commentators across golf, tennis, football and more in the past few months in support of our live play-by-play rights. We also recently added more live event coverage by signing an agreement to broadcast matches from TGL, the new primetime golf league led by Tiger Woods and Rory McIlroy. Within music, we're continuing to deliver the unique curated experiences our subscribers love. This quarter, we added to our subscriber favorite seasonal holiday lineup with an all new channel, led by Jimmy Fallon, and we launched How's Life, a new interview series from John Mayer. John's channel, curated not by genre, but by mood, time of day, and the artist's own ever-evolving interest in musical tastes, is a great example of the way our service allows fans to connect with the musicians they love in an entirely new way. At the intersection of music, talk, and podcasting, earlier this week, we announced two new channels as part of our agreement with Alex Cooper and the Unwell Network. Featuring live shows and curated music, these channels are a great example of how we can leverage the massive reach of a podcast, such as Call Her Daddy, to drive interest to SiriusXM with programming exclusive to our service. Podcasting is also key to how we leverage the strength of our advertising business. In addition to the launch of our agreement with Unwell and continued momentum around SmartLess, in Q4, we extended and expanded our relationship with Mel Robbins and kicked off with Rotten Mango creator, Stephanie Soo. And earlier this month, we announced a new podcast from sports commentator Katie Nolan, as well as an advertising and distribution agreement with Fantasy Footballers, allowing us to increase our share of the ad dollars flowing into sports media today. The expansion of our podcast network in 2024, combined with our strong streaming footprint, solidifies our position as the number one digital ad-supported audio player in North America and enables us to tap into the demand we're seeing from the market in 2025 with more and more advertisers both entering the space and increasing their investment. Throughout 2024, we onboarded a variety of new advertisers into podcasting and now have more than 80% of our top clients investing in podcasting, leading to 24% year-over-year growth in podcasting overall in Q4 2024, meaningfully contributing to the total 2024 ad sales revenue of $1.8 billion. Our open ecosystem approach supports both creators and advertisers who want to reach fans across all platforms, with more of our deals also beginning to incorporate social and video. And within adtech, where our AdsWizz platform revenue was up 18% year-over-year in 2024, we are not only welcoming more publishers into our marketplace, we are also seeing key measurement and technology leaders put an emphasis on audio in 2025 as an area of opportunity, addressing the gap between time spent and media investment. Turning now to another key element of our strategy, increasing efficiency across the entire business. In addition to the focus on our core audience with regards to both our marketing and content spend, we are right-sizing our product and technology costs, following a period of high investment, optimizing our organizational structure and are working diligently to achieve the additional target of $200 million in annualized savings as we exit 2025. Tom will speak to these initiatives in greater detail in a moment. As we noted in December, our 2025 guidance reflects the underlying strength of our platform, our increased strategic focus on our differentiators, and the actions we are taking to maximize efficiencies, all of which will drive improved free cash flow. It also accounts for the short-term impact of the changes we are making to the subscriber business, as well as the broader work we are doing to improve the long-term health of the business. Helping us achieve our goals is Wayne Thorsen, our new Chief Operating Officer, who is now overseeing both our product and technology group, as well as key commercial functions. Most recently Chief Business Officer of ADT, Wayne has incredible experience leading thoughtful and swift change. By unifying these areas of our business, we are ensuring a more rigorous ROI-based approach to all current and new initiatives and will more quickly execute upon updates to our business that will drive subscriber results. You should expect to hear from Wayne on our next earnings call. We remain steadfast in our belief that our offering from our exclusive content to our leading in-car position holds a unique and valuable place in the broader entertainment ecosystem. By sharpening our focus, we are bolstering the overall strength of our business in the long term, while continuing to deliver for both our listeners and our stockholders. I will now turn it over to Tom.
Tom Barry: Thank you, Jennifer, and good morning, everyone. As Jennifer mentioned, we closed the year on an encouraging note, delivering strong financial and subscriber results that met or exceeded our goals. We achieved several key milestones over the course of the past year that strengthened our long-term foundation, while sharpening our focus on the core business. Completing the Liberty transaction simplified our equity structure and removed uncertainty. At the same time, we successfully executed targeted efficiency initiatives, achieving our full year goal of $200 million in gross savings. These efforts enabled us to maintain strong margins, while we reinvested a significant portion of these savings and business priorities. Our commitment to the core business was evident in the way we deepened our agreements with automakers and dealers. These relationships enabled us to introduce a three-year subscription as a dealer-paid option, broadening our reach and unlocking new opportunities for audience growth. We leveraged enhanced data capabilities to improve trial conversions, expand subscriber acquisition channels, and refine marketing capabilities, driving higher engagement with our core subscriber base and strengthening our used vehicle reach. Innovation continue to be a cornerstone to our strategy. The opening of our new tech center in Ireland was another bright spot this past year, creating a foundation for advancing product development and driving technological capabilities in a financially prudent manner. Combined with an expanding content slate and enhanced subscriber personalization, these efforts solidify our position at the forefront of an enriched in-car and mobile experience. Turning to our full year results, we delivered a steady revenue of $8.7 billion, coming in ahead of our recent guidance of approximately $8.65 billion. Total subscription revenue reached $6.6 billion, a 4% decline from $6.9 billion in 2023, while advertising revenue held steady at $1.8 billion. Full year adjusted EBITDA was $2.73 billion and free cash flow was $1.02 billion, both aligning with our 2024 guidance. In the fourth quarter, we generated $2.19 billion in revenue. Subscription revenue totaled $1.63 billion and advertising revenue came in at $477 million. Adjusted EBITDA for the quarter declined by approximately 4% year-over-year to $688 million. Net income was $287 million, marking a 26% increase compared to the prior year with an earnings per common diluted share of $0.83. Free cash flow continued to be back-half-weighted, reaching $516 million in the fourth quarter, up from $402 million in Q4 2023, contributing to full year free cash flow of $1.015 billion or $2.80 per share. Free cash flow per share in the fourth quarter was $1.44, up 28% from $1.13 in the fourth quarter of 2023. 2024's free cash flow was reduced by several items that won't recur in 2025 and beyond, including one-time transaction costs, Liberty overheads and timing differences in tax payments between the former SiriusXM and Liberty. As a follow-up to our multi-year CapEx guidance, as a result of timing of the successful SXM-9 launch moving from November to December, $19 million of spend shifted from late 2024 to early 2025. And additionally, we had $20 million of satellite milestone payments for SXM-10 and SXM-12 that shifted from 2024 into 2025. This was already anticipated in our full year 2025 free cash flow guidance of $1.15 billion. Turning to the segments. In the SiriusXM segment, we generated $1.6 billion in revenue for the fourth quarter and $6.6 billion for the year. Full year subscriber revenue declined by 4% year-over-year, primarily driven by slower subscriber growth, which was impacted by challenges in conversion rates. Advertising revenue remained relatively flat with a modest 1% year-over-year decline, attributed to continued softness in the broadcast advertising market. Despite these headwinds, we saw a stronger-than-expected subscriber performance. Fourth quarter self-pay net additions were 149,000, an increase of 18,000 versus the fourth quarter of 2023. And for the full year, net additions were down 296,000, an improvement over 2023 of 149,000 or 33%. This performance exceeded expectations and highlights the strength of our product offering. Additionally, churn remained low in the fourth quarter at 1.5%. For 2024, SiriusXM's ARPU was $15.21, down $0.35 year-over-year, driven by a higher proportion of discounted subscribers and fewer full price subscribers. The absence of a rate increase also contributed as price remained stable while the subscriber mix shifted. While this impacted ARPU and subscription revenue, it aligns with our strategy to expand audience reach through more diverse pricing and packaging. SiriusXM gross profit for the fourth quarter was $966 million, compared to $1.04 billion in Q4 of 2023, yielding a 60% margin, down slightly by about 1 point. For the full year, gross profit totaled $3.9 billion, maintaining a 60% margin. In the Pandora and Off-platform segment, total revenue for the fourth quarter reached $568 million, with $2.15 billion reported for the full year. Advertising revenue came in at $434 million in the quarter, slightly down from $436 million in Q4 2023, reflecting evolving advertising trends. Podcasting has seen a significant rise in listening and strong financial performance in 2024 for the full year, with revenue growing 12% year-over-year. Total programmatic revenue in 2024 increased by 8%, while podcast programmatic revenue saw an impressive 39% growth compared to 2023. The segment's gross profit for Q4 was $192 million, reflecting a 34% margin, consistent with the prior year. For the full year, gross profit totaled $705 million, a 33% margin, representing a 3% improvement year-over-year. During the fourth quarter, we completed the license transfer of 10 megahertz in the WCS C and D blocks, strategically positioned around our existing spectrum holdings. As a result, SiriusXM now possesses a total of 35 megahertz of contiguous spectrum licenses. This acquisition enhances our spectrum portfolio, allows for greater flexibility in initiating new services, and underscores our commitment to serving the public interest. Portions of this additional spectrum will be allocated to support FEMA and other agencies in their public safety initiatives. We continued our commitment to returning capital to stockholders, distributing $92 million in Q4 through dividends and initiating share buybacks after our strategic announcement in December, which has resulted in $18 million in buybacks to date. For the full year 2024, we returned $400 million in dividends to the shareholders, inclusive of payments to our former parent company. As we look ahead to 2025, we plan to remain opportunistic with share buybacks. We continue to target long-term leverage in the low-to-mid 3 times range and ended 2024 with a net debt to adjusted EBITDA ratio of 3.7 times. Looking ahead, we remain committed to the strategic direction outlined late last year and are reiterating our 2025 guidance, projecting revenue of approximately $8.5 billion, adjusted EBITDA of $2.6 billion, and free cash flow of about $1.15 billion. Regarding cost savings, we are targeting an incremental $200 million in savings exiting 2025. Our efforts include optimizing marketing expenses with a stronger emphasis on subscriber profitability, particularly in our SiriusXM streaming business. Additionally, we are implementing significant reductions in both operating and capital expenditures, driven by the launch of SXM-9 last year and the renewed focus on our product and technology roadmap under Wayne's leadership since December. Furthermore, we remain committed to identifying and executing savings in other areas, such as customer service and general and administrative expenses. As these efforts progress, we will continue to provide updates throughout the year. With that, I'll turn it over to the operator for Q&A.
Operator: [Operator Instructions] And our first question is from the line of Cameron Mansson-Perrone with Morgan Stanley. Please proceed with your questions.
Cameron Mansson-Perrone: Thank you. Jennifer, I know you touched on the net add kind of outlook a little bit for this year, but I was wondering if you could elaborate a bit just in terms of some of the puts and takes that might dictate where you shake out for '25, even just directionally. And then for either one of you guys, on the guidance for adjusted EBITDA this year, it kind of underwrites a worse decline this year than in '24. And I'm wondering, as we think through that, given the upcoming pricing action and a similar run rate of cost savings this year relative to '24, just curious what might be preventing more of those benefits from flowing through in terms of the decline in '25 relative to what you guys were able to execute on this past year. Thanks.
Jennifer Witz: Sure. Thanks, Cameron. So, I guess, I'd start on-net adds just with a quick review of where we landed in '24. We were really pleased with the trial volume and then that in part helped offset the pressure we've seen on conversion rates, and we just had much better retention across both voluntary and non-pay churn. And then we saw additional positive impacts from podcasts, plus our OEM three-year subscriptions and, in general, improved used car ownership visibility. And in Q4, specifically, we really saw better-than-expected performance across virtually every line in acquisition and retention. So that's a good backdrop for '25, we do have some one-time impacts that we highlighted earlier from click to cancel, rolling in shorter-term post-trial promotions and, of course, our pullback in streaming marketing. And most of these will be rolling through in the first half of the year and we'd expect the impacts of those to be about a couple of hundred thousand subscribers. So outside of these, I still expect to be slightly better year-over-year in terms of self-pay net adds. And just broadly speaking, I'd say, some similar seasonality as we've seen in the last couple of years among the quarters. And then, Tom, you want to address EBITDA question?
Tom Barry: Yes. Cameron, so Jennifer talked about the revenue side and, obviously, we're calling down the revenue for the full year. But I think when you look through the variable and fixed costs as you go down, there's obviously the initiatives we're doing to optimize our cost structure and enhance our efficiencies, and there's some levels, some offsets of things like higher SAC because of the [GenA] transition. So we're looking at -- we're more focused on the overall margin, but generally, it's the revenue side and it's offset by the cost savings.
Cameron Mansson-Perrone: Very helpful. Thank you, both.
Operator: Our next question is from the line of Barton Crockett with Rosenblatt Securities. Please proceed with your questions.
Barton Crockett: Great. Thank you for taking the questions. I was wondering if you could talk a little bit about how you see the environment for the funnel of gross additions into the upcoming year? Is your sense that the funnels kind of improved with used car and the new car markets or is there still pressure there? A little bit of color would be helpful.
Jennifer Witz: Sure. I mean, the SAAR last year, I think, finished at about 15.8. But of course, the fourth quarter was really strong on new car sales. And I think everyone's waiting a little bit for what might happen on tariffs. I -- my personal feeling is that the automakers are going to do everything they can, to the extent those go in place to meet U.S. consumer demand for vehicles. But used cars has been an increasing part of our trial starts and we're at about 50% and that's with the ones that we capture at point of sale through dealerships. And we've increasingly added partnerships where we get information on used car ownership changes and been able to put trial offers and programs in place there as well to increase our yield through the funnel. So I feel good about the auto market in general. Of course, we'll keep a close eye on tariffs overall, but strong auto business is good for our business.
Barton Crockett: Okay. And then if I could follow up, you were mentioning that you've had some pressure on conversions, which -- it's a rate number that you guys used to report and haven't for a few years now. But I was wondering if you could elaborate on what the pressure -- the source of the pressure is and how you see that kind of turning around over the course of this year.
Jennifer Witz: Barton, it's similar to what we've seen in past years with the pressure coming from newer trailers and younger consumers that are entering the automotive funnel and some of the competition we see from other services coming through, projection technology into the car. But we're very focused on stabilizing conversion rates and excited about sort of the broad changes we're rolling through this year across products in terms of the content and features coming in expanded 360L rollouts, pricing and packaging with a lower entry price and, at least in our testing, better ultimate retention, post-trial and post initial -- promotion post-trial and better marketing capabilities, right, with all the data coming back on 360L. And I think we continue to see better conversion rates on -- especially on first-time trailers with 360L versus non-360L. More features are rolling out. Of course, we've expanded our reach with Tesla and Rivian, which is also going to help improve the overall funnel. And look, I think some of the metrics we look at are going to be different, because with our pricing and packaging strategy, it's really an effort to improve post-trial retention after the initial offer. And so, that'll show up again in better churn as opposed to necessarily better conversion rates, but ultimately, better yields for the business.
Barton Crockett: Okay. That's helpful. Thank you.
Operator: Our next question is from the line of Jason Bazinet with Citi. Please proceed with your questions.
Jason Bazinet: I just had a quick question on the incremental cost saves that you guys are going after. Is the right way to think about it that most of those savings will be reinvested in the business like the last batch of cost savings or is this more focused on potentially generating more near-term EBITDA and cash flow? Thanks.
Tom Barry: So, our approach on the exiting 2025, the $200 million in the ongoing initiatives, we're looking to optimize the overall efficiency of the company. And so, we're looking across all areas. Right now, we're really focused in the near term on the roadmap and the product costs, as well as optimizing our marketing strategy. We will look, as we go forward, there will be -- I think it will be more flowing to the bottom line. But I will say there's also some level of investment as we redirect and work on our product roadmap going forward. So I would say, you'll see more going to the bottom line, but I would still say we will be investing in the business.
Jennifer Witz: Yes. And I'd just add that the guidance we provided on satellite CapEx is outside of those cost savings. So that's incremental improvement to free cash flow over the next few years.
Jason Bazinet: Understood. Thank you.
Operator: Thank you. Our next question is from the line of Kutgun Maral with Evercore ISI. Please proceed with your questions.
Kutgun Maral: Good morning, and thanks for taking the questions. One on net adds and one on advertising, if I could. First, Jennifer, sorry to follow up on the net adds question from earlier, but I just wanted to better understand the expectations for 2025. You called out that the first half will see a couple of hundred thousand pressure from the adjustments that you're making, but that the full year will probably still be up year-over-year. I know there is some seasonality. But beyond that, is there any more you can share on the expected ramp in the back-half of the year? And then second, I was hoping to get your latest thoughts on the ad market in terms of advertiser demand and pricing. You highlighted expanded podcast offerings, double-digit growth in programmatic podcast revenue, and the strength in adtech capabilities. How do you see these driving benefits throughout 2025? And any initial reads that you could share into the quarter on the ad side would be helpful. Thank you.
Jennifer Witz: Okay. Thanks, Kutgun. So, yes, a little bit more maybe better clarity on the comments I made on net adds. So we would expect net adds to be negative this year. And then -- but for these one-time impacts, we would be slightly better than last year's negative results. So these -- we believe that the impacts of things like this correction in streaming marketing and one time -- click to cancel, those one-time impacts will roll through primarily in the beginning of the year through the first half. And that means we would expect to have sort of a similar trajectory to last year, where the first half was definitely negative. And the second half, we'll wait to give more clarity on that. But overall, the net adds would be worse than last year because of these one-time impacts. But again, without them, we still feel good about the trajectory of the underlying business and improving year-over-year. On the ads, you want to start, Tom?
Tom Barry: Okay. Yes, sure. On the ad revenue side, we closed the fourth quarter with $477 million. So, we had a solid fourth quarter. And overall, the full year was $1.8 billion, in line with what our guidance or what our internal targets were and in line with the prior year. What we're seeing in the market space is podcasts, as we've outlined, were up 24% in Q4 and up 12% for the full year. A lot of that has related to the investments in the strategic content that we've invested in the last year, the Alex Cooper, Unwell Network, SmartLess, Mel Robbins, and even recently, The Fantasy Footballers. When you look at each one of those, I think we're seeing early positive results. So we look for podcasting to continue and a lot of those will end up with full year benefit in 2025. And then programmatic is -- was very strong in the fourth quarter, up 38%. And so, overall, we think advertising in 2025 will be up slightly.
Jennifer Witz: Yes. I'd just add on to that, what Tom said about podcasting. So we've seen great demand for the new podcasts we've added in the back half of last year with the Unwell Network, Call Her Daddy, and SmartLess. And we've just announced Fantasy Footballers and Stephanie Soo with Rotten Mango. And there are more deals, I think, to be done there with improving margins. But there's also a way to capture -- like our sell-through is very strong there and pricing has been very strong and there's a way to capture, I think, more demand from the advertisers by selling through the reach these creators have in video and social. So that's a big effort for us this year. We've been improving our data and identity platforms, working more closely with third-party measurement providers to be included in things like MMM models and other methods to better allow advertisers and clients to assess ROI. And we're just going to make it easier and more efficient for smaller advertisers to self-serve on our platform and buy across our networks. We launched Synthetic Voices. We have a lot of smaller advertisers taking advantage of that. And we'll continue to leverage AI to provide integrated buying features and even help advertisers just automate their media planning to build out full media plans, leveraging AI capabilities. So I think we'll see modest growth in ad revenue this year, and we've got a lot of nice tailwinds in the portfolio overall.
Kutgun Maral: That's perfect. Thank you so much.
Operator: Thank you. Our next question is from the line of Stephen Laszczyk with Goldman Sachs. Please proceed with your question.
Stephen Laszczyk: Hi, great. Thank you for taking the questions. Two, if I could. First on ARPU for Jennifer. I imagine the strategy to refocus the business could have a natural uplift on ARPU over time as you focus less on the promotional side of the market. Beyond that, I was just curious, if you could update us on your view around the opportunity to take price over the next 12 months on the satellite side, when we maybe could expect that and the impact from that? And then on the advertising business, maybe just a follow-up on off-platform, you mentioned more deals to be done. Could you perhaps elaborate a little bit more on how much more inventory you think is out there, either on the podcasting side or with third-party audio partners, to increase that inventory and then, ultimately, the sell-through, and then the sizing of that and what could be executed against in 2025? That would be helpful. Thank you.
Jennifer Witz: Sure. I'll let Scott take the podcast question in a minute. On pricing and packaging, so we have three goals, right? It's enhance value to support price increases across the base, capture more demand, and reduce the use of our promotional plans and acquisition and retention. And so, we started in the fall with making content more widely available across our subscriber base, so pushing down the availability of talk and Howard and live sports to our lower-price packages, and also allowing all subscribers to access Artist Stations in the app and in certain 360L implementations. We're providing streaming concurrency to platinum subs. And we've added things like Walmart+, ESPN+ to really just drive more value among our full price and promotional plan subscribers. And we're looking to do that, obviously, ahead of rate increases. So we rolled that out in the fall. We've been very pleased with the engagement of those subscribers with this newly available content and we're positioning for a rate increase in March. So, I would expect at least in terms of the ARPU trajectory this year that you'd see improving trends after the first quarter. So the second piece of this is about opening up more demand. We've talked a bit about the $10 entry price for in-car. And again, it's an entry price. There are add-ons on top of that. We're seeing a nice take-up in those add-ons. This is -- trailers rolling off their first post-trial promotion who've already selected their full price package. And that's just starting to happen. We rolled out that new pricing and packaging strategy in the fourth quarter on a significant number of trials and we're starting to see them roll off trial and onto their promotional plan. After that again, they'll roll to these new prices and packages. And we do believe that that's going to drive improved retention overall and also on full price packages. And then the third piece is, again, how do we find ways to reduce our reliance on promotional plans and this new pricing and packaging strategy, given that it does improve retention on full price plans, will be a significant part of that, and over time, we'll look to use these packages also in retention at the save desk as well. So that's a key part of our pricing and packaging strategy, and of course, continuing to drive more engagement across the base with broader content, with more access across devices and more household listening, obviously, supports the value proposition. Scott, you want to talk about?
Scott Greenstein: Sure. So we feel pretty good where we are. As most of you know, we started just growing this from scratch and we now have four of the top 10 and eight of the top 50 in podcast. As we've discussed in previous calls, the goal is that it has to be economically something that we can live with. But also, we're trying to grow the Sirius business. So we started with just straight podcasts, and now, we've evolved all the way through where, when you look at Unwell, there's two Sirius channels there, and Mel Robbins is doing a show and others, Fantasy Footballers. So the one thing that we are now in a position, no podcast will come on the market without it being presented to us, but the real -- so the demand is -- will be there over time. The issue is, a lot of the big ones are on existing deals and then they roll off and they come to us. And if they come to us with a smart deal, we're happy to do it and also look at what we can do for Sirius and all of that. If they come with an aggressive deal that doesn't make sense and there's no -- we're just not going to do it. So it's really just up in the air as to when the bigger ones roll off. And then there are young talent like Stephanie Soo and others that we're looking to get in earlier and try to grow and be with along the way on that.
Jennifer Witz: I think in addition to just adding podcasts to the portfolio, I -- as we mentioned, we're building out more multichannel opportunities for advertisers to come in, access, obviously, the audio listening, the video listening. We have improved targeting and indicators on YouTube to support that and then across their socials as well.
Stephen Laszczyk: Very helpful. Thank you, both.
Operator: Thank you. Our next question is from the line of Steven Cahall with Wells Fargo. Please proceed with your questions.
Steven Cahall: Thank you. So, Jennifer, just to go back to subscriber color, as we kind of think about the first half of the year and the way you talked about those one-off items, should we expect churn to tick up? It was really solid in Q4, but I'm guessing between streaming-only and click to cancel, that's a headwind that you've got in the first half of the year. And then should we expect that to improve in the second half of the year as you start to get through some of those initial issues and wondering if you have kind of a broader outlook on churn, especially because vehicle churn, I don't know if it's going up or down in the underlying environment. And then just on -- you talked about Tesla and Rivian. I think those are app-based subscriber engagement rather than satellite-based. So, is that true? And then how do you think about some of the advantages that you might have in marketing to the app-based environment or, overall, how you think about subscriber acquisition and do you think that the EV market will be a meaningful piece of subscribers longer term or as you focus on more of this in-car satellite base, is that going to be more at the margins? Thank you.
Jennifer Witz: Sure. And I think the churn question is logical, based on the commentary we've provided. So the idea that we have this one-time impact from click to cancel and that might create some pressure on churn in the first half, I think that's an appropriate takeaway. And yes, we would look to see improvements on that in the second half of the year. In terms of the EVs, so they're streaming-based, but they're embedded, which is a little different than, I guess, an app through, obviously, projection like CarPlay or Android Auto. And it -- from a customer standpoint, there isn't really a difference from our 360L implementations, because we still deliver the breadth of content and the feature set that we would through 360L. The go-to-market is slightly different with Tesla in particular. These are opt-in trials and we're seeing very strong engagement when customers opt into the trial, but that go-to-market will create, ultimately, a slightly different profile in terms of conversion to pay. One of the areas I'm most excited about is, of course, a lot of our households have Teslas in their garage and we're seeing nice take-up in terms of trial take rates among our current households and looking to add subscriptions in Tesla with that embedded service. And we've seen nice progression in Rivian as well, and the conversion rates, it's early to say, because we just rolled them out, but based on how customers are adding follow-on plans in trial, I think that will ultimately look like some of our other premium OEM models. But really excited to have these in-place, not only because of the expanded reach, but also because of their receptivity, the EVs in general to over-the-air updates and being able to add new features and present different offerings to customers over time. So, yes, it's an ongoing part of our subscriber acquisition strategy and really excited about having that presence among those two EVs.
Steven Cahall: Thank you.
Operator: Thank you. Our next and final question is from David Joyce with Seaport Research Partners. Please proceed with your questions.
David Joyce: Thank you. Two questions, please. First, if you could update us on where targeted advertising is on the 360L product and what sort of a contributor that could be in 2025? And then secondly, looked like there were some significant efficiencies in sales and marketing. I think that was reflecting you taking your foot off the gas pedal with the streaming-only product. But what should we think about the spending trajectory from here on sales and marketing? Thanks.
Jennifer Witz: Yes, I'll let Tom take the second one. In terms of our opportunity for SiriusXM ads offerings, I think there's two pieces to that. We've got a free preview in market on select vehicles and that will expand nicely this year among a couple of other OEMs. And again, that's a reduced channel set of 40 channels, starts with broadcast ads. We'll be able to add the targeted ad capabilities over-time there and leverages 360L delivery. I also believe and I think the main priority there again is keeping that service open and active so that we have opportunities to upsell into the subscription service over time. And then the other opportunity, I think, that will be increasingly important to us is a low-cost subscription with ads. That -- as we continue to find opportunities to take price on the overall subscriber base that we're looking to find methods to create lower price points for customers that may be more cost-conscious and are willing to hear ads, frankly, in their experience, you see this very successfully done, obviously, among the video streamers. And so, we believe we have an opportunity to start to test into that this year and, ultimately, provide a pretty broad access to subscribers and process to an ad-supported subscription. And that will come with targeted ads as well, especially in 360L. You want to address sales and marketing?
Tom Barry: Yes. David, so yes, you're correct. We reduced, obviously, sales and marketing this year as we've continued to look through the optimization. And also, as we've repivoted in December and looked more closely at the streaming and level of marketing that supports that. So, when you look at it, we believe in 2025, we'll continue to look to optimize to better leverage the Salesforce tool that we have just recently put in. And I think through that, we'll continue to see better returns, but I would say that is an area of focus that as we work through our product roadmap and Wayne gets here and spends a little bit more time, we'll look at better integration across the platforms.
David Joyce: Great. Thank you very much.
Hooper Stevens: Thanks, David. Thanks, everybody, for participating today. We will speak to you in the near future. Take care.